Operator: Good day, everyone. And welcome to the Guess? Fourth Quarter Fiscal 2018 Earnings Conference Call. On the call are Victor Herrero, Chief Executive Officer; and Sandeep Reddy, Chief Financial Officer. During today's call, the Company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation and short and long-term financial outlook. The Company's actual results may differ materially from current expectations based on risk factors included in today's press release and the Company's quarterly and annual reports filed with the SEC. Now, I would like to turn the call over to Victor Herrero.
Victor Herrero: Good afternoon, everyone. Today, we reported that sales, adjusted operating profit and our adjusted earnings per share for the fourth quarter all finished above the high end of our guidance. Sandeep will give you more details in a moment but overall for the 2018 fiscal year these are the highlights. We increased revenues by 8%, 5% in constant currency. We increased adjusted operating profit by 36%. We expanded adjusted operating margin by 70 basis points and we increased adjusted EPS by 52%. The 2018 fiscal year marked the beginning of a turnaround for the Company. I am convinced that maintaining the focus on the strategic initiatives I outlined on my arrival at the Company in August 2015 is now clearly showing in our financial results. And as you will understand from our guidance, we expect to make continued progress on this front. During the year we allocated the majority of our capital investment to Europe and Asia, where the returns are superior. Separately, we have materially reduced our footprint and cost structure in the U.S. The U.S. now comprises 31% of our global business, down from 38% a year ago. Let's look at Europe. European revenues for the quarter grew 40% in U.S. Dollar and 24% in constant currency continuing the momentum we have demonstrated all year from successful implementation of our strategic initiative to elevate the quality of our sales and merchandising organization. The growth was driven by positive comms including e-commerce, up 18% in U.S. Dollar and up 6% in constant currency basis by new store openings and by an increase on wholesale revenues. Our e-commerce business in Europe continues to grow rapidly. We had a very strong performance over Black Friday weekend, now a big shopping weekend in Europe; and that set us up for a strong performance over the holidays. The size of our e-commerce business in Europe is rapidly approaching the size of our e-commerce in the Americas. During the quarter we opened 15 directly operated stores in Europe on a net basis including in Italy, France, Spain, Portugal, Switzerland, Belgium, Netherlands, Russia and Poland; and we plan to open 60 more stores in Europe this year. I'm also thrilled with the continuing strength of our European wholesale business. After two consecutive seasons of double-digit growth in the wholesale or the book, we are on-track for a third consecutive season of double-digit growth in the fall winter 2018 book extending our progress on the strategic initiative to revitalize the wholesale channels. European segment margin contracted by 10 basis points due to the onetime cost of moving our European distribution center to Venlo. The new distribution center is suspected to be fully operational by the end of second quarter; so we expect margin to resume expansion beginning in the second half of this year. Moving to Asia; fourth quarter revenues were up 40% in U.S. Dollar and 33% in constant currency. Revenue growth in the region was driven by positive comms including e-commerce up 14% in U.S. Dollar and up 8% in constant currency and by new store opening. These positive comms were achieved despite the negative impact from the shift in timing of Chinese New Year. During the quarter we opened 25 stores in Asia, including 16 directly operated stores in China. We opened stores in Shanghai, Suzhou, Hangzhou and Chindao [ph] in the east; Changchun and Dalian in the northeast, Beijing in the north, Chian [ph] in the northwest, Wuhan in the center, Chengdu and Chan-chiang in the west, Poyang in the southwest, Sanya in the south, Zhuang Chou in south-central and Nanchang in the southeast. And this year we plan to open another 60 stores in Asia, primarily in mainland China. While we are very excited about our brick-and-mortar footprint that will cover 45 cities in China, what is even more exciting is the progress that we are making there with our digital presence. Our marketplace partnership with Tmall continues to grow at such terrific speed that we're seeing few years the e-commerce business with Tmall alone could be as big as the e-commerce business we currently have in the U.S. We had another very successful 11-11 in China and finished the year with Guess? Rank in the Top 100 of all brands, both for women's and men's apparel. We also continue to invest in digital and social media communication platforms like Weibo and WeChat, and that engage with existing and future customers of the brand and have a lot of more potential customers we can still attract. In Asia, a market which is growing in importance for us is Japan. After several years of investment our brand has really started gaining a lot of traction in Japan as evidenced by the profitability of our stores there. In fact, just last month we launched a partnership with a Japanese top group Generations, and the limited edition collection produced for the partnership sold out very quickly in a pop-store we opened for the event Inomotesando [ph] in Tokyo. Another important milestone for us in Asia this quarter is that we began to directly operate our stores in Singapore that were previously managed by our distributor. Our brand has a lot of history in Singapore which is such a gateway city in the region that our presence in Singapore creates value for our brand [indiscernible] the market itself. Finally, we are thrilled that the operating margin of the Asia segment improved 470 basis points in the quarter making this the fifth consecutive quarter of margin expansion in Asia. As you can see, we are executing very well our strategic initiative to build a major business in Asia. Turning to Americas Retail, revenues for the quarter decreased 6% in U.S. Dollar and 7% in constant currency. Comp sales, including e-commerce for the quarter, were down 4% in U.S. Dollar and 5% in constant currency. This is definite sequential improvement from the third quarter and more importantly, this improvement was achieved while being less promotional and driving better AURs. We made great progress again this quarter on improving our profit in America's retail. We achieved this through lower markdowns, better IM use, store closures and negotiated rent reduction; all resulting in 620 basis points improvement in operating margin. More specifically on store closures, on the rent and on the rent reduction, we closed 62 stores this year in North America and we obtained rent reductions on 88 stores. We now have even more flexibility in our real estate portfolio in U.S. and Canada as almost two-third of our stores have least expirations or kickout in the next 3 years. There will be a trade-off between store closures and rent reductions this year but we expect to close between 20 and 25 store if we do not get sufficient rent reductions. We are very excited about our collaboration with Camila Cabello over the fall, and our current collaboration with Jennifer Lopez, who is the face of our spring campaign. I'm confident that this celebrity partnerships along with our strategic initiative to elevate the sales and merchandising organization will overtime lead to continued improvement in our sales in the Americas. Reflecting on the year, I believe that one of the key of our continued progress has been implementation of our strategic initiative emerging a culture of purpose and accountability through the organization. The Company has embraced a truly entrepreneurial spirit where managers are empowered to make decisions to maximize the value of their business whether it is an individual store or a business unit. At the same time, these managers are held accountable for their results that are measured rigorously, daily, weekly, monthly, quarterly and annually and good performance is rewarded. When I joined Guess? 2.5 years ago, I lay out our 5-part strategy which I have outlined many times during our earnings calls. The results that you see today reflect the implementation of that strategy. One last point about Q4. During the quarter, we repurchased just under 2 million shares for US$31 million. As I have told you many times before, we have the financial strength to site the opportunity when we believe that our stock is trading below it's intrinsic value. And now for the best part; as I look forward to the current fiscal year, I see a lot of opportunity in Europe and Asia where we will continue to allocate capital for superior returns and where we plan to continue growing sales in double-digits while also expanding margins. I also expect that the profitability of the Americas will continue to benefit from our cost reduction and margin improvement initiatives. Finally, I see that the tax reform announced late last year will be of material benefit to us. We will have a lower effective tax rate and increased flexibility to repatriate cash from overseas. We plan to invest in profitable growth, pay our dividend and do share buybacks in that order of priority. And my vision of our Company's future is not just wishful thinking; for the current fiscal year our EPS at the high end of the guidance is projected to increase by 40% over last year's adjusted EPS, this includes 15% or 21% favorable impact from currency. So in summary, operating profit for the Americas retail are expected to improve and both, Europe and Asia are expected to continue to generate very strong double-digit growth with a lot of runway remaining in both markets. Before I turn it over to Sandeep, I want to briefly address the issue of allegations of improper conduct by Paul Marciano. I am committed to maintaining a safe work environment in our Company. The independent investigation which is being conducted by independent council for the special committee of independent director is ongoing. As the investigation is still ongoing, we will not take any question or comment further on this matter during this call. Overall, as you can see from our results, this is a very exciting time for the growth of our Company and I'm laser focused on the performance. I'm proud of the hard work and unwavering dedication from all -- from our associates around the world and I want to thank them for their efforts in the past year. Sandeep?
Sandeep Reddy: Thank you, Victor and good afternoon. During this conference call, our comments reference certain non-GAAP or adjusted measures. Please refer to today's earnings release for GAAP reconciliations on descriptions of such measures. Fourth quarter revenues were $792 million, up 18% in U.S. dollars and 10% in constant currency versus prior year, and this includes the impact of the 53rd week. I would like to highlight that this was our sixth consecutive quarter of revenue growth. Total Company gross margin increased 210 basis points to 37.2%, driven by higher IMUs, less markdowns and lower rents, partially offset by the negative impact of occupancy deleverage from higher European logistics costs related to the start-up of our new distribution center in Venlo. SG&A, as a percentage of sales, increased by 120 basis points mainly driven by a reset of performance based compensation. During the fourth quarter of fiscal 2018, we recorded non-cash asset impairment charges of $2.5 million related to store impairments. Adjusted operating profit for the fourth quarter was $71 million, an improvement of 31% versus adjusted operating profit last year, primarily driven by sales growth and gross margin expansion offset by the aforementioned reset of performance based compensation. Adjusted operating margin finished up 90 basis points at 8.9% with an 80% favorable impact from currency. Please refer to our press release from today for additional information on operating margins by segment. Our fourth quarter adjusted tax rate was 25%, down from 33% last year, as we experienced higher earnings in lower in tax countries. We have excluded the impact of the recent U.S. Tax Reform from our adjusted results. For GAAP purposes, we've recorded an estimated charge of $23 million related to the repatriation of our foreign earnings at a charge of $25 million related to the impact of the reduction in the U.S. tax rate on our net deferred tax assets. Adjusted diluted earnings per share finished above the high end of our guidance at $0.62. This represents a 44% increase compared to adjusted diluted earnings per share of $0.43 in last year's fourth quarter. The positive impact of currency on earnings per share in the quarter was $0.04. Moving on to the balance sheet; accounts receivable was $260 million, up 15% in U.S. dollars and 2% in constant currency, primarily driven by growth in European wholesale revenues, offset by earlier collections of our royalty receivables. Inventories were $428 million, up 17% in U.S. dollars and 6% in constant currency versus last year. This marked another sequential improvement in constant currency versus the prior quarter. The net increase in inventory is driven by Europe and Asia to support revenue growth plans, as well as early receipts related to the transition to our new distribution center in Venlo. We exited the year with healthy inventory levels in all three regions positioning ourselves well for the next year. Free cash flow was $64 million, an improvement of $83 million versus a negative $19 million in the prior year. We ended the quarter with cash and cash equivalents of $367 million compared to last year's $396 million. Cash less debt at the end of the fourth quarter was $325 million compared to $372 million last year. This is after having returned $76 million in dividends and $50 million in cash paid for share repurchases to shareholders in the fiscal year. Through the end of the quarter, we still had $392 million available of the $500 million share repurchase plan previously approved by our board. Since the start of our dividend program in 2007, we have returned just over $1.4 billion to our shareholders in the form of dividends and share buybacks. Moving on to the guidance; I should point out that our outlook for the first quarter and full year of fiscal 2019 does not assume any asset impairment charges. The outlook includes the adoption of ASC606, the new revenue standard that is refractive of fiscal 2019. Also, guidance for revenues and comp sales for the total company and by segment is included in the supplemental table attached to our earnings release. EPS at the high end of guidance is projected to increase by 40% over last year's adjusted EPS. Excluding currency impacts, the top end of our guidance for the year reflects 19% adjusted EPS growth and adjusted operating margin improvement of 40 basis points. For the first quarter of fiscal 2019, we expect revenues for the quarter to be up 5.5% to 7% in constant currency, driven by expected strong growth in Europe and Asia. At prevailing exchange rates, we estimate that currency will be roughly a 5.5 percentage point tailwind on consolidated revenue growth for the quarter. Our gross margin is expected to be up due to the IMU improvement from our supply chain initiatives, the favorable impact from foreign exchange, and the impact of adoption of ASC606 partially offset by temporary pressure from distribution cost related to our move to the new distribution center in Europe. The SG&A rate is expected to be up compared to last year, primarily due to an increased investment in digital marketing and advertising and the adoption of ASC606. We are planning an operating margin for the quarter between negative 4.5% and negative 4.0% with an 40 basis point tailwind from currency. Loss per share is planned in the range of $0.24 per share to $0.27 per share and does not assume any further share buybacks. Excluding currency, the top end of our guidance for the quarter reflects flat adjusted EPS and 60 basis points improvement in adjusted operating margin for the quarter. Our tax rate for the first quarter is estimated to be 10%. We expect consolidated revenues for the year to be up between 5% and 6% in constant currency; it should be noted that we expected increase in revenues even after closing many stores in the Americas and the negative impact from the 53rd week in the prior year. At prevailing exchange rates, we estimate that currency will be roughly 2 percentage point tailwind on consolidated revenue growth for the year. For the full year, we expect gross margins to be up due to improved IMUs in both, the Americas and Europe, the favorable impact of currency and the impact of adoption of ASC606. The SG&A rate is expected to be up for the year due to increase in investment at digital marketing and advertising and the impact of adoption of ASC606. Our tax rate for the year is estimated to be 25%; this includes the benefits to our effective tax rate resulting from the tax reform. We are planning an operating margin between 4% and 4.5%, including the impact of the currency tailwind of roughly 50 basis points and our guidance assumes foreign currencies to remain roughly at prevailing rates. Earnings per share is planned in the range of $0.86 and $0.98 per share. The earnings per share guidance includes a currency tailwind of roughly $0.15 per share. CapEx for the year is expected to range from $85 million to $95 million as we continue to invest in our retail expansion in Europe and Asia, and our technology infrastructure to support that long-term growth. The Board of Directors has approved a quarterly dividend of $0.225 per share payable to shareholders of record at the close of business on April 4, 2018. With that, I will conclude the Company's remarks and open the call up for your questions.
Operator: [Operator Instructions]. And from Evercore ISI we have Omar Saad. Please go ahead.
Omar Saad: Congratulations on the great quarter, it's great to see how the fundamental work you've put in really trying to inflect to the P&L. Victor, I wanted you to talk about getting an update on your views of what's going in the North American market; I know obviously in Europe and Asia, the brand is purely strong but the coms are getting -- next time you see that incremental improvement in coms in North America and the campaigns you've been running with J'Lo and Camila Cabello; are you trying to feel an inflection in the brand and the marketplace? If you can expand on where your thoughts are in North America. Thanks.
Victor Herrero: I see our overall effort Omar. Basically we have these celebrity endorsement and we started with a Sabroke, later on we had Joe Jonas, we have Camila Cabello and for the spring season we have Jennifer Lopez. This is an important part of what is happening at this moment and why maybe our trends are improving in Americas in the fourth quarter. And basically, a part of that I think that we've been less promotional than before and we are seeing that also basically we are improving our -- also IMUs and also I think that we are doing a lot of efforts in the digital marketing, also in trying to add more capabilities to our e-commerce platform. So I think everything is -- it's not only one initiative that is helping us to improve our numbers in America, I think basically it's coming from every part, from marketing, from planning and allocation, from supply chain, and also as well from all our effort in digital marketing and e-marketing in general.
Omar Saad: I know you got into negative low single digit coms in North America, but are you getting a sense of positive same-store sale results in North America, is a possibility in the coming year or two or is it too early to tell?
Victor Herrero: One thing Omar, since I've been here I think that I will resume my mandate with Guess? as consistency and I've been -- we've been seeing a good trend in this moment in Europe and Asia for the last -- let's say in Europe for the last 10 quarters and in Asia for the last -- let's say 5-6 quarters. And I think it's a question of time that we will see these positive coms in North America. I don't know how long it's going to last but I think we are in the right path, I'm very happy with where we are going, the direction where we are taking and basically, I mean -- if we need to see something that we've been doing for the last 2.5 years as I mentioned is consistency, we are going to continue with this consistency. I define on strategy plan 2.5 years and we continue telling you that this plan is still valid and we will continue trying to execute that plan and the strategy behind.
Operator: From Cowen we have John Kernan. Please go ahead.
John Kernan: Just staying on the topic of America's retail; I think you're guiding to up low single digit coms on a constant currency basis for the first quarter and down low singles for the year. Clearly, the P&L impact has been enormous from the star closures your operating margin in America's retail as it recovered significantly on the last two quarters. I'm just wondering as the coms get better, the store closures continue, what we should expect from the North American segment from an operating margin perspective this year? So can we expect similar type of improvement given the comms look they are at the point of inflection.
Sandeep Reddy: John, I think what you've seen in the backup for the year is pretty significant margin improvement that we've generated this -- at negative coms, I think we are minus 10 in Q3 of last year and a minus 4 in constant currency in the fourth quarter, and despite that we saw margin improvements in both quarters, accelerating to 620 basis points in the most recent quarters. So what we have in place is all those cost improvement up initiatives that we took on when there was IMU, whether it was markdown management, whether it was rent reduction, store closures; and those initiatives should continue to playout as we go through the front half of the year. And I think as we move into the back half of the year, if we can actually get to the comm guidance that we have for the full year, there is a very good chance that we can get to the breakeven level on the Americas retail business for the current fiscal year.
John Kernan: In the supplemental information, it looks like your guiding European comms flat for the first quarter which is obviously a deceleration from the levels you've been running. I'm just wondering to some type of factor in there whether it's weather or something relative to the DC that could be driving that, so it's obviously the same low to mid-single for the rest of the year. Is there anything going on in Europe in the first quarter?
Victor Herrero: You are right, that I mean we are experiencing severe winter in Europe. And basically this is -- maybe affecting a little bit the comms that -- the important thing is that I mean, maybe one quarter -- even we guide the flat comms, the important use is that we've been 10 quarters with positive comms in Europe and I feel very confident and very strong about our business in Europe. As I mentioned in my call, basically the European wholesale business is a double-digit for the next book. So we're still having a good momentum in Europe, we opened 60 stores in Europe last fiscal year and I think we will continue performing in a positive way in Europe. We're still having a lot of wide space in several countries, I'm very happy and like this -- this is a very good way of showing the relevance and the strength of the brand is that every time we open a new market, there is a lot of expectation from customers, so the brand is still very relevant, very strong and actually we are very happy every time we open a market or we take over a market; and it looks like people recognize our brand and people are engaging with our brand, so we're very happy about that. Another thing that I forgot to tell you about -- that I think that we are doing as well an important push and an important effort to continue being a product driven company. So we are basically making a lot of efforts in marketing but at the same time we try to continue trying to understand the product that we need to offer to our customers.
John Kernan: And just one modeling question; store closures in the Americas this year, did you give that number?
Sandeep Reddy: Yes, John. I think we said it's going to range from 20 to 25 stores but given the dynamics of what's been going on on rent reductions, this is basically a trade-off between rent reductions and stores closures; so it bit of a dynamic number as you saw in the past year as well.
Operator: From B.Riley FBR we have Susan Anderson. Please go ahead.
Susan Anderson: I guess just a follow-up on the question on America's retail, what's the positive --looking on the comm guide for the first quarter. Are you guys just expecting -- not sure if that would continue throughout the rest of the year given obviously the J'Lo campaign helped quite a bit in first quarter?
Victor Herrero: So I think on the first quarter if you recall last year and the first quarter was a pretty tough quarter for the sector in general, and so we're up against that. And we feel that it's going to be a bit easier for compare for us in the first quarter than as we get into the back half of the year where sequentially we started improving relative to the first quarter. So we still think that we're down at low singles for the year but what I think -- we think that sequentially it's the significant improvement from where we went for the whole of last year.
Susan Anderson: And then just maybe if you could talk a little bit about the trends that you're seeing in Denim I think have been very strong; and maybe some other products or categories that are working well, I guess both in the Americas and Europe and Asia, whether it be the Logo T or other areas, and then maybe some areas that need work?
Victor Herrero: Yes, basically, I can tell you more or less what I believe is going to be a little bit of our trend and I think it's a market trend during the next coming months. I think that the Logo T will continue being a strong player for us but regarding Denim, for example, I think destroyed Denim and also for us the stretched Denim is very important, a high rise, middle rise as well and we are also seeing a lot of reference in the market and cold shoulders, also -- we see a lot of Logo T's but at the same time we are seeing a lot of graphics in T's and also a outwear, very important to have a minimum level of quality because the customer appreciate and they didn't have so much price resistance that previously they had. So this is more or less what we believe that is going to happen during the next few months.
Operator: From Jefferies we have Janine Stichter. Please go ahead.
Janine Stichter: From the guidance, it looks like you're expecting good top of momentum but the flow-through's are little bit less than maybe we were expecting because it sounds looks like you were investing in some marketing there. Can you fill up more color on the plans for this spend, how you think it breaks out in terms of geographic impact? And then what guide post you used to mention the efficacy of the spend? Thank you.
Sandeep Reddy: I think Janine, when you look at the guidance that we have for the year, definitely as you said topline momentum is expected to continue from last year and essentially we're guiding to mid-single in the constant currencies from an increased perspective, even after the 53rd week impact. And I think when you look at the flow-through's, yes, we are making investments in digital marketing especially and I think the key over here is, if you go back to some of the things that we've been talking about all year, we really have been emphasizing the digital first program. And so this really is key for us in terms of pivoting our spend to connecting with the consumer on the digital frontier and we talked about it earlier when we talked about even Weibo and WeChat, and China is a big frontier to how we communicate with the consumer over here in the Americas, it's basically -- Instagram is a very key medium to communicate with as well. And I think everywhere that we have social media that as a key driver and it goes across all the geographies and the approach is pretty uniform depending on the social media platform that is being employed but the consumer is actually shopping digitally first and that's how we want to connect with the consumer from a marketing perspective.
Janine Stichter: And then just in terms of the Americas, is it fair to say now that you're experiencing some better trends there that you're comfortable refueling that business a little bit more investment than maybe you had in the past?
Sandeep Reddy: Yes, I think we're pretty comfortable with the Americas and that the investments, and especially on the marketing side on the Americas have been very strong regardless of what the trends have been, and that was precisely our point. As far as we are concerned, the brand is there for the long-term, the business is there for the long-term and we are going to keep on investing this market because it's a very important market for us. If we had to close some stores because they were unprofitable, we did, but the key is to make sure that we keep the brand strong in relevance so that we come back and connect with the consumer in whichever channel that we do down the line.
Operator: [Operator Instructions] From Telsey Advisory Group we have Dana Telsey. Please go ahead.
Dana Telsey: As we think about the gross margins that came in better than expected, what's the balance of AUCNA [ph] who are thriving that gross margin? And how do you think about the complexion of gross margins going forward for 2019 -- for the coming year? Thank you.
Sandeep Reddy: Dana, I think things are inside the gross margin line but I think we've talked about this previously as well. I think the IMU improvement is key and I think really, breaking it out into AUR and AUC isn't as relevant as the total IMU improvement because it's a constantly shifting portfolio of products that we manage in the IMU. And I think this was a big driver of our margin improvement in the past year but I think as we -- another piece of it which is quite important, especially in the Americas was an improvement in our rents that we actually sustained during the course of the year, especially at the back half of the year and that actually helped the gross margin numbers as we moved towards the back half of the year. Going forward into next year, we've talked about some of the drivers and I think that some of the key drivers that are similar; we have our new improvements and rent improvements but I think more important is we have a very strong process now in place with planning and allocation inside the Company which is ensuring that we have the right product in the right place at the right time and this is driving an improvement in the markdown liability that we have. And this discipline that actually have been enhanced more and more with the course of the last year but I think we really think we're going to hit our stride this year in a much better way than last year.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you for joining. You may now disconnect.